Operator: Good day, ladies and gentlemen, and welcome to the Ocwen Financial Fourth Quarter 2013 Earnings Conference Call. [Operator Instructions] As a reminder, this conference may be recorded. I will now turn the call over to your host, Mr. John Britti, EVP and CFO. Please go ahead.
John V. Britti: Thank you, operator. Good morning, everyone, and thank you for joining us today. My name is John Britti, and I'm Executive Vice President and Chief Financial Officer of Ocwen Financial Corporation. Before we begin, I want to remind you that a slide presentation is available to accompany our remarks. To access the slides, log on to our website at www.ocwen.com, select Shareholder Relations, then under Events and Presentations, you will see the date and time for the Ocwen Financial Fourth Quarter 2013 Earnings. Click on this link. When done, click on Access Event. As indicated on Slide 2, our presentation contains forward-looking statements made pursuant to the Safe Harbor provisions of the federal securities laws. These forward-looking statements may be identified by reference to a future period or by using forward-looking terminology. Forward-looking statements by their nature address matters that are, to different degrees, uncertain. They may involve risks and uncertainties that could cause the company's actual results to differ materially from the results discussed in the forward-looking statements. Our presentation also contains references to non-GAAP financial measures such as normalized results and adjusted cash flow from operations. We believe these non-GAAP financial measures may provide additional meaningful comparisons between current results and results in prior periods. Non-GAAP financial measures should be viewed in addition to, and not as an alternative for, the company's reported results under accounting principles generally accepted in the United States. For an elaboration of the factors I just discussed, please refer to today's earnings release, as well as the Company's filings with the Securities and Exchange Commission, including Ocwen's 2012 Form 10-K and 2013 quarterly 10-Qs. Note that we expect to file our 2013 Form 10-K by Monday. If you would like to receive our news releases, SEC filings and other materials, please email Linda Ludwig at linda.ludwig@ocwen.com. Joining me today for the presentation are Bill Erbey, our Chairman; and Ron Faris, President and Chief Executive Officer. Now I will turn it over to Bill Erbey. Bill?
William Charles Erbey: Thank you, John. Good morning, and thank you for joining today's call. This morning, I'd like to cover 3 broad areas in my prepared remarks: First, I thought it would be worthwhile to address some of what is being said about the company in recent media reports; second, I want to discuss our commitment to customer service and the substantial investments we have made and we expect to continue making to build upon our industry-leading service platform; and third, I'd like to review why we remain confident in the company's ability to continue to invest its capital and why we remain a buyer of the company's stock. After my comments, Ron will discuss our work with community groups and provide more details on our historical modification performance and an update on our results and operations. Finally, John will provide additional detail on our fourth quarter funding and financial results. Regarding the news, let me start by saying that I'm obviously limited on what I can say about some things. So please accept my apologies in advance if we do not answer every question you might have, either in our remarks or in our Q&A. Nevertheless, it's probably useful to recap some facts. Much of the recent media coverage relates to the suspension of our agreement to acquire a pool of mortgage servicing rights from Wells Fargo, representing $39 billion in unpaid principal balance. One of our key regulators, the New York Department of Financial Services or DFS, expressed concerns about our recent large acquisitions of mortgage Servicing and requested that we put the closing of the Wells transaction on indefinite hold, pending further review. We agreed to do so. Notwithstanding the false rumor in the trade press to the contrary, the transaction remains on indefinite hold. The only other thing we can say is that we are cooperating fully with DFS. We received a letter yesterday from the DFS asking about our relationships with 4 related companies, independent companies. I would note that the agreements among the companies are fully disclosed in our public SEC filings, and we believe them to be on an arm's-length basis. We look forward to addressing the matters raised by DFS and will fully cooperate. I would also like to address general media reports regarding the regulatory regime and capital position of nonbank servicers vis-à-vis banks. In short, we believe Ocwen compares favorably on both counts relative to other nonbank servicers. First, some have questioned whether banks are shifting servicing from the regime of oversight under the national settlement to one that avoids that oversight. That may be true for other nonbank servicers, but it's not true for Ocwen. Ocwen is subject to virtually identical servicing standards and oversight as the large banks because the national regulatory settlement we agreed to closely mirrors theirs. Moreover, our acquisition of the ResCap portfolio was conditioned on our assuming the obligation to service it under the servicing standards and national monitoring requirements in GMAC's national settlement, which we have done so for over a year now. These are also substantially the same standards and requirements as those in the national settlements with JPMorgan Chase, Wells Fargo, Bank of America and Citibank. It's worth noting that as of the latest reporting by Joseph Smith, the national monitor over all of the settlements, only the ResCap portfolio has received credit for achieving its consumer relief targets through mid-2013. With respect to capital, Ocwen is also in a different position than other nonbank servicers. Ocwen is the best capitalized public nonbank servicer by a large margin, as you can see on Slide 4. We affirm our equity and net worth relative to debt compared to our peers. By other metrics of balance sheet strength, such as debt coverage ratio, we are similarly stronger. You can see that we show both unadjusted and adjusted levels. This is because, unlike our peers, we carry our MSRs at the lower of cost or market rather than marking them to market. Were we to mark to market our MSRs, we would to substantially increase book equity. On Slide 5, we show the impact of increasing our MSRs to fair value, which would increase the book value of our stockholders' equity by $836 million. Note that this is based on broker marks that appear to lag the market valuation. Moreover, just taking into account Ocwen's lower cost of servicing and not including our superior ability to lower delinquencies, the value would increase by at least another $830 million. Ocwen holds far more capital relative to our MSRs than banks, even under the new Basel regulation. Our ratio of equity to MSR value is essentially 1:1, which is well above the capital typically held by banks against their MSRs. Next, I'd like to address various comments I've seen in news reports regarding data on Ocwen's ability to serve distressed borrowers. Ron will cover the data in more detail later, but let me summarize a few pertinent facts. Ocwen has completed more HAMP modifications than any other servicer, including Wells Fargo, Bank of America, Citibank and JPMorgan Chase, according to data from the U.S. Treasury. Indeed, we have done 20% of the total for all HAMP modification and 36 more -- 36% more HAMP modifications than the next highest servicer. Our performance on HAMP principal modifications relative to other servicers is even more impressive. We've accounted for about 39% of all HAMP principal modifications and exceed the number of the next highest servicer by a ratio of 2:1. Finally, multiple independent data and analysis shows that Ocwen has consistently provided more modification, with lower re-defaults on private label subprime servicing than other servicers. For example, a Moody's analysis published in October cited Ocwen as the best-in-class servicer as compared to other large servicers. By tracking loans through the financial crisis from 2009 to mid-2013, they showed we secured [ph] more loans and had fewer noncurrent loans than we had previously modified. The bottom line is that we get results. Indeed, it's ironic that another recent news story about Ocwen was that we might be sued by RMBS investors for being too successful modifying loans. There's absolutely no substance that suggests we changed or will change our process for modifying loans because of the national settlement. To the contrary, the settlement makes clear that we do not need to deviate from our contractual obligation to resolve delinquencies in the best interest of the REMIC Trust. Each loan modification is determined on a case-by-case basis in accordance with the applicable servicing agreement, and Ocwen only performs a loan modification when the analysis shows that the modification will produce a net present value for the mortgage loan investor that is superior to that of foreclosure. More importantly, we are confident that our modifications are net present value positive to investors. Another Moody's report published in 2013 shows that Ocwen generates more cash flow and security than the other large servicers. This and many other studies consistently show that sensible modifications that help keep families -- that help families keep their homes provides far superior outcomes for investors and communities. Next, let me talk broadly about our investments in servicing operations that reflect our commitment to quality servicing. Comments from policymakers and regulators have raised industry-wide questions about loan servicing transfers. We agree. Our leadership team and our employees embrace these conditions -- these concerns. We will be the first to admit that we are not perfect and that our industry has a long way to go. But we have worked hard to be part of the solution by raising standards for helping homeowners in distress for over 2 decades. Ocwen pioneered forbearance and loan modification even before the government HAMP program came into being. Similarly, Ocwen has been a leader in such innovation as the Shared Appreciation Modification for underwater homeowners and alliances with community groups that support more effective borrower outreach. Moreover, we are making the investments required to continuously improve our servicing quality and exceed compliance standards. We've also invested in and will continue to invest in more robust auditing, quality control and validation of our servicing quality and compliance. Notwithstanding our investments to date, we believe that there are many things we can do to be even more effective and efficient in the future. Our commitment stems from a deeply held belief that exceptional borrower experiences, positive investor outcomes and servicer efficiencies are not in conflict but, in fact, are very much aligned. My last topic has to do with Ocwen's ability to continue to produce solid value for shareholders. As noted a moment ago, we will continue to invest in our core servicing capability. And this is part of our overall view that being better at mortgage servicing is something that has substantial value, not just now, but into the future. As Fannie Mae's CEO recently noted, "Specialty servicers provided much-needed capacity for the industry as the housing crisis started." Unfortunately, despite some improvement in the housing market, the crisis has not ended. The number of families struggling with their mortgages remains substantially elevated, as shown on Slide 6. Our mission as a company is to continue to be part of the solution by helping homeowners and investors. Given the issues discussed above, we don't think it's appropriate to update our new business pipeline at this time. Next, I would like to cover developments on our mortgage lending operation. Yesterday, we closed our first notes issuance under our new Ocwen Asset Servicing Income Series or our OASIS program in a private placement. These notes were secured by Ocwen-owned mortgage servicing rights relating to $11.8 billion in unpaid principal balance of Freddie Mac 30-year fixed-rate mortgages. This financing is an example of an Ocwen innovation that should substantially improve our ability to compete in the prime origination space. Notice that I said prime, not subprime. Ocwen has always been concerned about our exposure to prepayment risk inherent in prime mortgage loans. As a result, we've been somewhat tentative in our pricing of such assets. Now with OASIS, we can originate prime loans and sell the prepayment risk to investors seeking such exposure. And with OASIS, our cost of capital is now more than competitive with commercial banks. The OASIS transaction also demonstrates the substantial unrealized value in our prime servicing portfolio. On the deal we just closed, the assets in the transaction were on our books at a 3.1 multiple of the servicing spread, while the notes traded at a 5x multiple. Therefore, the market is pricing the servicing at more than 1.9x 31 basis points, over 59 basis points of UPB higher than we were carrying the servicing on our books, and also substantially higher than the third-party marks utilized in Slide 5. Also, the bid in the aftermarket is up significantly. Based upon the aftermarket bid/ask spread of 5.2 to 5.5x the servicing fee, the difference increased to between 65 and 74 basis points of unpaid principal balance. I might point out that we have over $260 billion of agency servicing. If one remembers back to the ResCap transaction, pundits claimed that we overpaid for that acquisition. I can assure you that whether it be ResCap or more recent acquisitions, we're very focused on our return profile, which we believe is as strong today as it has ever been. Ocwen continues to evaluate other adjacent business opportunities that will benefit from our operational capabilities and where we can deploy our capital at high rates of return. I would hope to have a substantial update on our second quarter earnings call. Our relatively low leverage, combined with our substantial positive cash flow, means that we can both fund new investments and repurchase stock to maximize returns on equity. As we have noted previously, the cash flow generated by Ocwen is sizable. Our revenue run rate is now over $2 billion annually. Moreover, the value of our existing portfolio will generally increase as the economy improves. This is true for a few reasons. First, higher interest rate slow [ph] prepayments, especially on our prime portfolio, which prepaid at an annual rate of 14.5% in the fourth quarter. On our non-prime portfolio, the fourth quarter constant prepayment rate or CPR of 11% was at an all-time low for at least the past few years. Most non-prime prepayments are a result of principal reduction modifications, REO sales, short sales or charge-offs. As we improve performance through our loss mitigation efforts and the economy improves, prepays should continue to decline. Lower delinquencies also mean lower operating cost, as it's far less expensive to service a performing loan versus a nonperforming loan. Lower delinquencies also reduce advances and related interest expense. All of this means that we expect our existing portfolio will generate substantial value. In addition, we believe that our company has substantial value embedded in our operating capabilities, both through our existing business and, more importantly, new business line. A source of strength should not be turned upside down. The fact that we did not need to do any new business to maintain high levels of profitability does not mean that this is how we should be valued. Rather, our sizable intrinsic cash flow, combined with substantial competitive advantage, should suggest we are worth a sizable premium for the net present value of our future cash flow. With all this in mind, we will continue to be a buyer of our common stock under our authorized $500 million stock repurchase program. Generally, our goal is for our purchases in the first 3 months following our earnings announcement to be at least as much as our prior quarter's earnings, keeping in mind our desire to maintain the strongest capital ratios in the industry. Nevertheless, we may purchase more or less in any given time period. I'll now turn the call over to Ron to talk more about our commitment to quality service, operational and segment level performance and cost management initiatives. Ron?
Ronald M. Faris: Thank you, Bill. This morning I will cover 3 topics in my prepared remarks: First, I will provide some additional perspective on our overall regulatory regime, including the national settlement we signed in December and was approved yesterday by the court; second, I would like to go over some examples of what has made Ocwen stand out in the servicing industry, including our engagement with community groups and details on our modifications and loss mitigation efforts; and finally, before turning the call over to John Britti, I will cover some fourth quarter results and update our integration efforts. First, let me review some facts regarding our regulatory regime. Contrary to some erroneous press reports, Ocwen is not a bank. We are a licensed servicer and mortgage originator in every jurisdiction in which we service and originate loans, and we are subject to federal and local rules and oversight. We are also subject to oversight from Freddie Mac, Fannie Mae, Ginnie Mae, private trustees and other clients for whom we service or subservice loans. With respect to the national settlement, let me restate some facts. The agreement includes the CFPB, state regulatory agencies and 49 state attorneys general. The New York Department of Financial Services, along with the State of Oklahoma's Attorney General and state mortgage regulator are not parties to the agreement. The agreement settles alleged mortgage servicing claims related to the period from 2009 up to and including December 18, 2013. In addition, we will be subject to the same national monitor, Joseph Smith, as prior national settlements with the large banks and legacy ResCap. The required servicing standards in the settlement are almost identical to the other national servicing settlements and, in many cases, similar to the new CFPB standards that took effect in January. Let me move on to talk about some of Ocwen's long-standing work with community housing organizations. We strive to be the best in the business at helping homeowners in distress and thereby, serving the interest of investors and communities. One way we do that is by improving the effectiveness of our communications with struggling homeowners. This is absolutely essential to preventing foreclosures. Among the most powerful means we have for doing this is through our support and collaboration with nonprofit consumer advocacy and housing counseling partners all around the country. The effort of these groups are especially helpful in hard-hit areas and communities of color. To name just a few, we are grateful for the homeowner outreach assistance from HomeFree-USA, National Association of Neighborhoods, National Community Reinvestment Coalition, National Council of La Raza, Neighborhood Assistance Corporation of America and Empowering and Strengthening Ohio's People. We were pleased to have received various awards from community groups in recognition of support and innovation such as our Shared Appreciation Modifications for underwater borrowers. We continue to expand our partnerships with nonprofit community groups across the country. Through these partnerships, we are able to enhance our outreach to our customers who are struggling with their mortgage payments. The housing counseling firms we work closest with are highly experienced and effective at helping families through the delinquency resolution process. They are also skilled at educating families on financial literacy and household budgeting, which has resulted in reduced re-default rates. Moving on to talk about our success as a servicer, let me start with the HAMP program. On Slide 7, we show the detailed Treasury data Bill reference earlier with respect to HAMP modifications. As you can see, Ocwen has been the leader in total HAMP modifications overall, and especially with regard to HAMP principal reduction modifications. Ocwen has started over 264,000 HAMP modifications, with over 50,000 of them being in HAMP's principal reduction program. It is worth noting that while Ocwen is now the fourth largest servicer, we only attained that status in the past 12 months. This data, however, is for the HAMP program since its inception in March 2009. Ocwen has thus been a substantial overachiever relative to our size as a servicer. Some of this is due to the fact that we have specialized in more delinquent portfolios than others, but it is also a function of our focus on building a robust and effective process to manage customer communications, financial hardship documentation and modification and short sale decisioning. As required by law, we always check a borrower's qualifications for HAMP before offering other programs. Nevertheless, HAMP modifications have accounted for less than half of total modifications in recent periods, as many borrowers simply fail to qualify for the HAMP program. The next slide shows Treasury data related to the number of modifications or payment plans offered to borrowers who were not accepted in the HAMP program or who had their trial modification application canceled or disqualified. Again, Ocwen outperforms other servicers by offering the largest number of alternative modifications or payment plans to borrowers, with over 295,000 such offers. These results show up in other third-party data and analysis as well. As shown on Slide 9, Ocwen both modifies more loans and has fewer modified loans that are delinquent in private label subprime pools than other servicers. Ocwen has modified 59.9% of its PLS subprime portfolio compared to only 50.3% for other subprime servicers. Ocwen has also been better -- has also had better performance on modifications, with those that are 60 or more days delinquent at only 26.7% compared to the non-Ocwen servicer re-default rate of 34.1%. As shown on the next chart, our superior performance is consistent when lined up against any large subprime servicer. Some are a little better than average, but none are better than Ocwen. In October of last year, Moody's published a study where it tracked over 1 million loans that were 60 days or more delinquent in December 2008 and followed them through June 2013. Their analysis found Ocwen's performance to be the best-in-class. The results speak for themselves. Ocwen consistently achieved more modifications than its peers with lower rates of re-default. On Slide 11, we show historical modification numbers. Since 2008, we have helped about 463,000 families keep their homes with sensible modifications, including government-sponsored HAMP modifications. Modifications are not the only way to provide homeowners with alternatives to foreclosure, however. Payment plans, forbearance plans, short sales and deeds in lieu also provide ways to avoid the cost of foreclosure for both investors and communities. For the full year 2013, Ocwen helped over 200,000 borrowers receive sensible modifications and other loan resolutions that avoid foreclosure, while improving cash flow to mortgage investors. For 2013, nearly 75% of all of our delinquency resolutions were resolved without resort to foreclosure. We are proud of our ability to resolve loans without foreclosure, as this is best for struggling families, for blighted communities and for investors. Moving on to our operating performance for the fourth quarter 2013, beginning with loss mitigation. In the fourth quarter, Ocwen completed 29,979 loan modifications. HAMP modifications accounted for 44% of the total. In the quarter, 54% of modifications included some forgiveness of principal, with an average principal reduction of about 35%. Our Shared Appreciation Modification accounted for 3,807 of the modifications in the fourth quarter and almost 15,000 for the full year. In addition to modifications, Ocwen had over 21,000 other pre-foreclosure resolutions of delinquent loans in the fourth quarter. Ocwen's overall 90-plus delinquency rate at December 31, 2013, was 14.5%, representing a modest 0.1 percentage point decrease in delinquencies compared to the September 30, 2013, numbers. The reduction would have been about 0.5 percentage points, but for the fact that the boarded portfolios from OneWest and Greenpoint had higher delinquency rates than our portfolio at the end of the third quarter 2013. Moving on to our integration and recent acquisitions. The transfer of loans from OneWest and Greenpoint were substantially completed during the fourth quarter and early in the current quarter. More importantly, we are nearing the end of our integration of the legacy ResCap loans on to Ocwen's servicing platform. We expect to be able to finish our consolidation by the end of the second quarter. Consolidation will allow us to substantially lower our expenses and reduce the operating complexities of running multiple platforms. Constant prepayment rate, or CPR, dropped 2.7 percentage points across all loan types, averaging 13.1% in the fourth quarter as compared to 15.8% in the third quarter. Overall, CPRs are down 7.7 percentage points over the second half of 2013. The CPR on non-prime loans averaged 11% for the fourth quarter, which is down from 13.1% in the third quarter. Slide 12 shows non-prime CPR trends, including a CPR breakdown between voluntary, nonvoluntary and regular amortization. Prime loan CPR continued its more rapid decline to 14.5% in the fourth quarter from 18% in the third quarter. Slide 13 shows prime CPR broken into its components. Moving on to originations. Homeward lending's funded volume was roughly flat at $1.3 billion in the fourth quarter 2013 versus the third quarter's $1.4 billion. Lock volume for our own direct lending channel more than doubled quarter-over-quarter to just over $200 million. As a result of the higher retail mix, Ocwen's lending business generated a record high $14.8 million pretax income contribution in the fourth quarter, despite the fact that rising interest rates reduced margin and volume below our expectations. HARP refinances continue to be the major driver of earnings in our lending business. However, we expect this volume will begin to decline over the next few months as the number of marketable HARP-eligible loans decreases. This may be offset, to some extent, by the improved execution we expect as a result of the OASIS transaction. Our Liberty reverse mortgage subsidiary maintained its position as the top reverse mortgage lender with a 16.1% market share in 2013. The market is still dominated by variable-rate LIBOR-based product, which represents about 75% of new production. As noted on prior calls, this product feature lowers initial draws, but we expect that it will generate higher income in later periods as subsequent draws occur. Before I turn the call over to John, let me reflect on the bigger picture. As we immerse ourselves in the day-to-day, it's often easy to forget the substantial improvements we have achieved over the past year as our operating results have improved at rates few companies have matched. I appreciate the hard work that the Ocwen team has undertaken to make this possible. As we look forward to this year, we expect to maintain strong operating performance by investing in our compliance management infrastructure that will enhance our ability to demonstrate our compliance, raising the bar on customer service through continued investments in training, new processes and new technologies, improving our cost structure by consolidating onto a single operating platform and taking advantage of our scale to further reduce overhead expenses and building our lending business and utilizing our core competencies to invest in adjacent businesses. Now I'd like to call -- turn the call over to John Britti. John?
John V. Britti: Thank you, Ron. Today I'll cover 3 areas. First, I'll review the fourth quarter and full year 2013 results in more detail; second, I will discuss our funding activity in the quarter; third, I will provide some perspective on MSR pricing in the market. First, let's start with a review of our normalized results on Slide 14. Normalized pretax earnings for the fourth quarter 2013 were $166.9 million, which is a 13.5% increase over the third quarter of 2013 and more than double normalized pretax earnings for the fourth quarter of 2012. Over 90% of the normalization is for transition-related expenses. As we noted last quarter, we expect these costs to remain elevated through midyear as we ramp down the legacy ResCap platform. The settlement legal expense normalization relates largely to a true-up on reserves for the national settlement. Lastly, we backed out some trailing revenues on discontinued operations. While we carry most of our MSRs at lower of cost or market, we have a small fair value portfolio that came from Homeward that we did not normalize. It does cause some volatility quarter-to-quarter. The $7.8 billion portfolio generated a $90 million gain in the fourth quarter versus a loss in the third quarter of about $0.2 million. This writeup was not driven so much by change in rates. Rather, it was a function of market information from client MSR bids that were above where we've been carrying the asset. Unlike the third quarter, the Ginnie Mae portfolio generated more stable gains on modifications that were consistent with our second quarter results. Moreover, we saw a modest decline in claim-related losses with Ginnie Mae. On Slide 15, we show adjusted cash flow from operations relative to earnings. Adjusted cash flow from operations is slightly negative for the first time in many quarters driven by a few reasons. First, as noted last quarter, we sold most of our servicing advances to -- or we had sold most of our servicing advances to HLSS, including a very large transaction in July and a smaller one in October. With few seasoned advances on the books, we were unable to benefit from the typical advance reductions we would expect as our programs drive down delinquencies. Note that advance sales to HLSS flow through the investing cash flow. Just the same, these sales accelerate cash onto our balance sheet that would have later come in as operating cash flows. Second, there's a seasonal impact in the fourth quarter from tax assessments that tends to drive up escrow advances near year end. Third, ramping up our origination activity consumes cash. We believe these issues are short term in nature, and we expect our adjusted cash flow from operations to return to positive levels in the first half of the year. In particular, the large advances relating to OneWest should begin to drop as our loss mitigation efforts reduce delinquencies. As with previous transfers, we are confident that homeowners and investors will benefit from Ocwen's modification program. So we'll next go over the impact of HLSS on our financials. On October 25, Ocwen sold rights to receive servicing fees on $9.9 billion of UPB and net servicing advances of $271.1 million, for total proceeds of $299.8 million. Through the fourth quarter of 2013, we have sold rights to receive servicing fees on about $202 billion of UPB to HLSS. We have also sold the related advances on about -- of about $7.1 billion to HLSS. These sales free up capital that funded growth without issuing additional common equity. This has proven to be efficient funding for Ocwen. In the fourth quarter of 2013, interest expense pertaining to HLSS was $77.2 million. After considering the advance financing cost that Ocwen would have borne absent the asset sale to HLSS, the net increase in Ocwen's interest expense is about $32.3 million, which represents a cost of capital of approximately 6.3%, taking into account accelerated deferred assets -- tax assets. The total MSRs on Ocwen's balance sheet where we have sold HLSS the rights to receive servicing fees amounts to $180 billion of UPB as of December 31, 2013. In the first quarter of 2014 we expect interest expense pertaining to HLSS of between $75 million and $77 million. As noted by Bill earlier, yesterday, we closed our first notes under our new OASIS program in a private placement. OASIS is an agency MSR financing program whereby the company issues notes backed by individual closed-end pools of agency MSRs that are owned by the company. These MSRs constitute the reference pools. Noteholders of this first OASIS issuance will be entitled to receive monthly payments from the company in the amount equal to 21 basis points per annum on the principal balance of the reference pool. The notes have a 14-year stated maturity, with final payment based on the ending principal balance of the reference pool. The average servicing fee for the reference pool at the closing date was 31 basis points. Through the OASIS program, the company achieved long term match funded financing that mitigates our exposure to prepayment volatility. As Bill noted earlier, we are very excited about this program and its importance to the future of our lending business. Turning to our stock repurchase program, we believe our balance sheet is strong, with significant flexibility and ample access to multiple sources of capital. As a result, we believe we have substantial funding capacity for new investments and stock repurchases. Let me update you on our share repurchase activities in the fourth quarter of 2013. We purchased 1.1 million shares at an average price of $53.34 per share, for a total value of $60 million. And as Bill said, we will continue to be a buyer of our own stock. Lastly, regarding MSR pricing. Let me briefly address concerns I've heard regarding MSR pricing in the market and how it will affect Ocwen going forward. Non-prime and nonperforming assets have not seen anything like the change in valuation that we've seen in prime MSRs. That's because there are fewer capable buyers of such MSRs and the change in the interest rate environment is far less relevant to the pricing of non-prime MSRs. Nonetheless, we've seen prices on non-prime MSRs go up over the last few years, but the rise has been consistent with the fall in funding cost that have occurred over the same period, especially on advance financing. As a result, we still see pricing that should provide Ocwen mid-teens pretax returns on capital and target returns on equity of 25%. Many observers seem to fundamentally underestimate the value of non-prime private label MSRs. One problem is that they take initial margins that they see in a forecast for a non-prime deal and they project them forward. As we have shown in the past, margins rise on our nonperforming transactions over time. If we were to complete, for example, a non-prime MSR acquisition later this year, it would likely have only minor impact on our financials in 2014, with profits largely coming in 2015 and beyond. This occurs for several reasons. We invest heavily in operating expenses to work deals early in their life cycle. Moreover, funding costs are at their highest when we board new deals. As loans cure, ongoing operating expenses and funding costs generally decline faster than the runoff in the portfolio, raising overall margins and profitability. Revenues also rise as we recover deferred servicing fees. Based on historical experience, these recoveries increase over the first several months after boarding, and they remain elevated as a percentage of UPB for up to 3 years before they start to fall off. The next mistake I see is with capital. A very large component of our initial investment is equity and advances. As noted earlier, advances fall as delinquencies decline, which has generally enabled us to quickly recover a sizable portion of our initial investment. Overall, we believe that those who poorly estimate non-prime MSR value start with our lowest operating margin and divide it by maximum investment, and then suggest that the returns are low. We believe that more seasoned analysts better understand how we make money, and they seem to better appreciate the time profile of our earnings on non-prime MSRs. Let's end by summarizing a few key points. I'd like to first say we are committed to working closely with all regulatory bodies, including the New York DFS to understand and address concerns that may arise from time to time. We believe Ocwen has an exemplary record of working closely with not-for-profit community groups in helping families keep their homes through sensible loan modification. We believe that we have sizable opportunities to invest in both our core servicing and lending businesses and in adjacent markets at solid returns for our shareholders. Our strong balance sheet positions us to fund this investment and return cash to shareholders through a stock repurchase program. Before I will open it up to questions, I will remind you that we will likely be limited in what we can discuss regarding some topics. Thank you. I would now open it up for questions. Operator?
Operator: [Operator Instructions] Our first question comes from Henry Coffey with Stern Agee.
Henry J. Coffey - Sterne Agee & Leach Inc., Research Division: Just -- I didn't hear everything perfectly. In terms of your agreement with the CFPB, I know that there were 49 AGs that had signed on to the original settlement, including the State of New York. And you indicated that, that same team agreed to your current settlement with them.
Ronald M. Faris: So maybe just to clarify, Henry, so the national settlement that we signed in December, which was approved in federal court yesterday, covers -- the CFPB covers 49 of the state attorneys general and it includes state regulatory bodies. What it excludes is the New York Department of Financial Services and the Oklahoma Attorney General and state regulatory body. So that's what it covers.
Henry J. Coffey - Sterne Agee & Leach Inc., Research Division: So that means the New York Attorney General signed off on it, but DFS did not?
Ronald M. Faris: Yes.
Henry J. Coffey - Sterne Agee & Leach Inc., Research Division: Secondly, I know that you obviously are limited into what you can say, but can you give us any specific loan data on exactly what you've done in New York over the years in terms of foreclosures and loan modifications, maybe just to give us a sense of what you've done inside that state?
Ronald M. Faris: I think our performance there, as far as loan modifications and principal reductions and assisting families, is consistent with what we've done across the rest of the country and sort of consistent with the information that I've provided in the prepared remarks. The State of New York, because of some of the nuances of the state, has seen lower completed foreclosures than many other states. And that's not just for Ocwen, but that's across the industry. So the number of foreclosures is relatively low compared to the level of loan modifications and other borrower assistance that we've provided.
Henry J. Coffey - Sterne Agee & Leach Inc., Research Division: Great. And then just one last question. On OASIS, is that sort of an open-ended funding or do you have to go back to market every time you want to sell MSRs?
John V. Britti: No, it would be a new issue each time.
Operator: Our next question comes from Mike Grondahl with Piper Jaffrey.
Michael J. Grondahl - Piper Jaffray Companies, Research Division: The first one is really, could you highlight the benefits again from OASIS? And maybe also include how much in prime MSRs are left on the balance sheet, where are they valued? And if they were able to be pushed through or sold into the next OASIS deal, what would the market value of those be?
John V. Britti: Well, let me first say, we've got about -- and you'll see this in our 10-K when it comes out. But we've got about -- I think it's $280 million -- $280 billion, excuse me, of Freddie and Fannie MSRs and then another $45 billion or $46 billion of Ginnie Mae. I think the best way to think about value would be this. As we put in that one chart, we have about $836 million of fair value room based on broker marks. And just to put it in perspective, the broker mark on the deal we just did was probably as much as 0.5 turn light compared to where it's pricing in the market today. So there is -- so even that broker mark we think is probably an understatement of the actual value in our prime portfolio.
Michael J. Grondahl - Piper Jaffray Companies, Research Division: Got you. So I think what you're saying is, if the rest of these prime MSRs you could push through OASIS or sell into OASIS, is there somewhere around $1 billion of value that you could free up?
John V. Britti: So I'd note that we also -- I mean, on this transaction, I think -- which would be a good estimate, I think we can't -- we effectively financed, in this case, about 2/3 of the IO. So I mean, I think that you'd want to apply that to it as well, but I think that your starting point is a good estimate.
William Charles Erbey: Yes, each pool, Henry -- Mike, I'm sorry, each pool has slightly different characteristics with regard to them. So that's why we hesitated to extrapolate the, I'd say, 65 basis points or 74 basis points over the entire UPB until we've had a chance to really go through and understand how the pricing the dynamics will work. Because they will work quite differently for a seasoned portfolio versus one that is, in fact, newly originated. We would expect new originations, based on color we've received, to trade more like with like a 6 multiple, which is substantially in excess of what we have historically been willing to price into prepayments. So it will vary considerably across the board. And as we get more information as to the variability, we'll try to give you more color on that. But it's a huge change in our business model, where we no longer have to worry about -- we try to eliminate basically liquidity risk, duration risk, interest rate risk. Now we can eliminate prepayment risk. So we could just really focus on operation -- operational risk as our primary business aspect.
John V. Britti: And one other thing I might add, Mike, is the -- that fair value improvement in our portfolio, about 3/4 of it resides in -- is with Freddie and Fannie MSRs.
Michael J. Grondahl - Piper Jaffray Companies, Research Division: Okay. Okay. And then just maybe one other question. There's been -- some of the media news has talked about subprime lending. And I just want to verify. You guys are not doing any subprime lending today?
William Charles Erbey: No. No, we're not. As a matter of fact, if you read the underlying Moody's report, there is quite a bit of variance between what that article said and what the actual Moody's report said. So I think it's more illustrative for people just to read the basic Moody's report as opposed to the newspaper article.
Michael J. Grondahl - Piper Jaffray Companies, Research Division: Sure. One more quickly. The prepay speed for the nonprime, obviously at 11% was very, very low. Did you guys say you expect that to trend down from 11% or sort of be stable for a while? What were your -- what was your the language you used there?
John V. Britti: Well, I don't know that we put a forecast in on CPR at all, Mike. But I do say, I wouldn't think that it would continue to trend down from there substantially.
Operator: Our next question comes from Bose George with KBW.
Bose T. George - Keefe, Bruyette, & Woods, Inc., Research Division: So just to follow up on that CPR question. I mean, looking at Slide 11, it's a little too hard to tell, but is the drop being driven by involuntary prepayments and then the voluntary and amortization is staying stable?
John V. Britti: Yes, so then in there, I think the voluntary has even come down a bit or it came down a bit in the second quarter -- the fourth quarter.
William Charles Erbey: The more current we get the portfolio, the more the involuntary prepayments will decline.
Bose T. George - Keefe, Bruyette, & Woods, Inc., Research Division: Okay. Great. And then switching to prime servicing, how would you characterize the returns in prime servicing relative to that 25% ROE you noted for distressed?
William Charles Erbey: We'll have to give you a calculation on it. Obviously, the cost, the capital cost in prime servicing shifted dramatically yesterday with the OASIS transaction. So we'll have to think of a -- maybe a more thoughtful way of responding to that. But you substantially drop the effective cost of capital on prime servicing with that trade.
Bose T. George - Keefe, Bruyette, & Woods, Inc., Research Division: Yes, that definitely make sense. And, actually, switching to the regulatory stuff, has the behavior of any potential sellers in terms of negotiations with you, has anything changed based on what's happening on the regulatory front?
Ronald M. Faris: I think as we said, I don't think we're going to discuss pipeline. And we have never historically discussed sort of individual transactions. So I think we're just going to pass on that.
Operator: Our next question comes from Kenneth Bruce with Bank of America Merrill Lynch.
Kenneth Bruce - BofA Merrill Lynch, Research Division: I have a few questions. I'll try to keep them somewhat short. I guess when you look at -- first of all, thank you for correcting some of the misinformation that seems to be in the market. I think that is important to do at this point. Secondly, I guess when you look at servicing, special servicing in particular, I guess, at the moment are nonbanks servicers. There is obviously a lot of scrutiny. It feels like we're going to a 0 defect type policy similar to what we saw on the origination side. And I'm wondering what is it that you think that Ocwen needs to demonstrate to the various constituents that they're effectively doing what they're supposed to be doing. And if you will kind of clear some of the misinformation as it relates to what regulators are suggesting the problems are at Ocwen?
Ronald M. Faris: So first off, I'll just maybe just kind of talk about the historical record a little bit. There's a number of areas like, for example, the HAMP program, as well as the national settlement that related to the GMAC business, where we've been subject to the same types of oversight and review. And in the case of the national monitor on the ResCap portfolio, as the large banks and the information out there about the performance is public and has been positive. As we sign up for the national settlement, we'll be expanding that national monitoring process across our entire portfolio. And we'll be the only nonbank servicer out there that is subject to that and is basically on a comparable footing with the large banks. That being said, as we said in our prepared remarks, we've committed a lot of resources over the past year to enhancing our compliance management system. We'll continue to do that bigger this year. We'll continue to work to get to that 0 defect rate from a customer service experience standpoint. It's, I think, because of that service that we've had historically is one of the reasons we've been able to accomplish such good results in the modification area, just the overall loss mitigation for loan investors in general. I mean, we're going to continue on that. But there's no doubt that the environment, particularly with implementation of the CFPB rule here recently, it's a different regulatory environment than it was a number of years ago. And I think we're as well positioned as others in the nonbank space or we're better positioned than others to over time demonstrate how well we do service loans and be a leader in the industry. But we'll have to continue to commit management time and resources to that, and we're going to do that.
Kenneth Bruce - BofA Merrill Lynch, Research Division: Okay. And I recognize you're not going to discuss pipeline, and that's understandable. But do you -- just given kind of the nature of what's in the market today, do you think that there has been a change in the rationale for sellers, bank sellers, in particular, to move forward with divesting of these assets? I mean, it's been kind of suggested that they are somehow -- this is a skirting around of regulatory -- of regulation, new regulations. You've kind of already said that, that's not the case. But do you think that there's any change to the rationale for banks to sell?
William Charles Erbey: I don't think they're -- I mean, if anything, the more difficult the environment becomes, the less attractive it becomes. I would think that more people would be looking to do that in general. There may be impediments to them doing it, but the product we service is a very difficult to service product by and large. And it's not something that, I think, many institutions really want to deal with it.
Kenneth Bruce - BofA Merrill Lynch, Research Division: I guess understandably at this point. And I guess to maybe tackle one of the other gorillas in the room, the push for regulators to be more consumer friendly, not only just in terms of service, but obviously trying to prevent foreclosure wherever possible, obviously puts you in a little bit of a -- puts you in tension or I should say there's tension in the relationship between all the stakeholders here, consumer, Ocwen and investors. And obviously, there has been some suggestion that you may be the focus of a lawsuit. I mean, do you see that this is -- basically, you're just constantly going to be in a rock and a hard place trying to effectively balance the -- balance the interest of all parties here?
William Charles Erbey: We don't think they're at conflict at all. I mean, I think you certainly see a different heightened sense of -- around the process than the industry. But to our -- from our way of thinking is, the better the job we do, the more homeowners keep their homes, and that's -- we've been a leader in the industry for doing that. As Ron said, over 300,000 families we've helped over the past few years. I think in terms of when we -- the better we are -- actually, we become more efficient. If you look at our operations, when you have a loans -- when you have a client that's not dealt with efficiently and effective on the front end, it essentially creates an enormous ripple effect through your organization. So were not pushing back. If we can -- our goal is to be as effective as we possibly can in dealing with our customers because we think it helps the homeowner. We think it helps basically the investor because we generate more cash for the investor -- the RMBS investor, I should say. And we actually benefited from it. So we truly do try to look at this as a win-win situation and are working in that spirit.
Kenneth Bruce - BofA Merrill Lynch, Research Division: Okay. And then enough with that. I guess just looking at the quarter, the mortgage banking, the gain on sale, in particular, was very strong relative to what we were expecting. Can you decompose that? Was that driven by the -- I know you kind of touched on this, but was it driven by the mix of the pipeline that is driving the higher margin? At least the way that we're measuring it, it looks like margins were up. I know you said kind of it was the other way around, but something is moving the needle here, and just I'm just trying to understand what that this.
John V. Britti: It's the mix of HARP loans in the quarter was much higher. That was up substantially and so margins on the individual product components were either flat or down, but the mix improved. We make that much higher margin on our retail mix than we do on Correspondent One [ph].
Ronald M. Faris: At the beginning of the quarter, we had higher expectations for where the margin would be. I think that's what we were referencing to in saying that margins were down. They are down across the industry. They were lower than we had expected at the beginning of the quarter. But as John mentioned, because the mix of HARP refinances through our direct and partner channels was better than it was in prior quarters, that's what drove the improvement for us.
Kenneth Bruce - BofA Merrill Lynch, Research Division: Got it. And maybe lastly, the information on OASIS is very encouraging. The next obvious question is, is how fast do you think that you can scale up your mortgage banking operations and if you have any plans to do so?
Ronald M. Faris: I mean, we've worked the past year to really develop a lot of capabilities there. If you look at our correspondent channel, we've already proven that we can do more volume than we're doing now, but that we we're doing more volume earlier in the year. That volume declined as kind of the market conditions shifted and as we sort of made sure that we were more conservative and comfortable with the business until we were able to get something like OASIS off the ground. So I think we're in a pretty good position to take advantage of the fact that we now have a clearer picture as to what pricing is going to be in the market and what our capital cost is going to be because of the Oasis transaction. It brings us much closer to being able to compete competitively in the marketplace with the bank players.
William Charles Erbey: I think, too, there's still -- I mean, there's still a few more things we want to put in place before we significantly expand that business. I mean, we tend to take a far more process-driven and technology-driven approach to the business. So I wouldn't expect you to see large increases in volumes much before the -- really, the latter part of this year because we still -- we have some work -- I think we have some more infrastructure to put in place to expand.
Operator: Our next question comes from Daniel Furtado with Jefferies.
Daniel Furtado - Jefferies LLC, Research Division: Just a follow-up on that last response, Bill. In terms of things that you can see [ph] ducks in a row on the technology side for the origination business, is there anything in particular or specific -- I mean, I assume that it has bent toward the non-QM business, but do you have any kind of insight you can give us into what you need to line up there before getting a little more aggressive?
William Charles Erbey: Well, I think it will be an approach over time. I mean, there are companies like -- the firm, I think, who does the best job in the world is somebody like Quicken. I mean a very, very strong solid technology infrastructure to provide a high-quality product. We think we have a lot of capabilities in the servicing space that can actually be ported over to the origination space. For example, things such as our psychology and the dialogue engines to help maintain quality control over what gets said to the borrower. We're in the process of developing today some very sophisticated underwriting engines to make sure there's absolute compliance with the underwriting. So it will be -- it's a process. It's not something that is a -- you flip a switch on. You develop that over time.
Daniel Furtado - Jefferies LLC, Research Division: Understood. And then my last question is on the OASIS [indiscernible] [Technical Difficulty]
Ronald M. Faris: Unfortunately, you're breaking up. We're not able to hear your question.
Daniel Furtado - Jefferies LLC, Research Division: When you issue a new series, is there true sales transfer there for unlocking some this -- I guess you would have a mark to market on the portion of the assets that are sold?
John V. Britti: It's a true financing. It's not a sale. So there is no markup. But what it does is, because the liability then will move -- essentially the liability will go down to the extent that the loans prepay faster it gives -- it mitigates the risk of prepayment.
Daniel Furtado - Jefferies LLC, Research Division: Understood. So I guess one of the things I was thinking potentially the deal would do would be allow you to repurchase more shares by unlocking those mark to markets, but that's an incorrect assumption, I assume?
William Charles Erbey: We have a choice once a year to go to mark to market. Certainly, OASIS, by basically matching the value on the asset and the liability, so eliminating prepayment risk would enable us to go to that kind -- would enable us to go to that mark to market should we choose to do so.
Operator: Our next question comes from Craig Perry with Panning Capital.
Craig William Perry - Panning Capital Management, LP: John, I was just wondering, flipping all the way to the back of the presentation, I know that you swapped methodology in providing essentially forecast cash flows over the next 20 years, discount at 10%, between sort of Scenario 1, 2 and 3. And sort of prior to that, you did a cume cash flow forecast over the next 10 years. One of the comments that you made in your prepared remarks were that some of the "mistakes" you've seen in terms of how people have tried to interpret your sort of cash flow analysis or kind of run down analysis is taking margins and leaving them static. I was wondering if you could provide a little bit of -- sort of more granularity, on this call or at a later date, as to sort of some of the assumptions or details behind the slide. So one thing in particular, maybe it will just be helpful for us to understand absent guidance, although this slide, I guess, sort of functions as guidance is, for instance, over the next 2 to 3 years, how much cash flow do you actually expect to generate, if we thought about the shape of that cash flow? And as well, maybe, I just want to confirm the way to think about this slide is sort of in Scenario 1, where it's at sort of $7 billion and what would essentially be a runoff scenario. That's $7 billion to the equity sort of net of repayment of all corporate borrowings or debt. So I know it's a long-winded question, but if you could flesh out any of that, I think it will be helpful to us and to the marketplace.
John V. Britti: Craig, a rather short answer maybe to your long question. We're not going to provide additional guidance, at least not right now, much as I appreciate your question. And I think we will certainly take it under advisement for the future. I think it is what it says it is, which is, it represents adjusted cash flow from operations. I think as we talked about in scenarios, it does involve paying down our debt, but I think it's best to -- we believe it's a proxy for, but it's not the same as some kind of free cash flow analysis.
Craig William Perry - Panning Capital Management, LP: Sorry, so what do you think the purpose of providing it is, if it is not effectively a free cash flow analysis available to the equity?
John V. Britti: Because we do think it's a good proxy. The problem is, it's not a -- I mean, we're not really trying to run the -- I mean, even in the baseline scenario, we do reinvest cash at a 5% rate, so it's not a pure liquidation analysis.
Craig William Perry - Panning Capital Management, LP: I mean, I guess I've just sort of seen pure liquidation analyses, like, attempted by the sell-side, and the numbers are essentially half of what is even your lowest case scenario here. And I'm just trying to match maybe your prepared remarks with you sort of -- I'm not asking you to respond in particularly to the sell-side, but just help us understand where you think the delta is. Because on the one hand, we're essentially saying, if you just ran the thing off, which no one really expects that to happen, I mean, I guess maybe some people will expect that to happen, there's $7 billion give or take allowing for a whole bunch of assumptions available for the equity holder. On the other hand, when we see sort of the sell-side attempt that, they call up a number that's half as harsh. So obviously, there's a disconnect going on somewhere, and I'm just trying to sense where you think the disconnect is?
William Charles Erbey: Craig, I think it's a good question. Let us -- we'll get you a bit more detailed analysis coming back. But one of the big differences is, is that the -- when you see what are -- the value is, say, for a nonprime MSR, it uses a very high discount rate in terms of that. It makes assumptions about CPRs that are a lot different than what we are actually experiencing. So we give you a number that is a third-party mark, but if you were to run that out, let's suppose they discount at 16% or 18%. It's a higher discount rate. And that actually makes a difference over a long period of time. So we'll get that back to you. So the difference really is, is what -- one of the biggest differences is the discount rate used on those cash flows as opposed to what we used here.
Craig William Perry - Panning Capital Management, LP: Right, of course. Right, I mean, obviously a 10% versus an 18% discount rate is going to make a big difference. But I actually just meant more versus the sell-side, who's supposed to be responsible for understanding and modeling out your cash flows, coming up with a runoff number that's half of the number that's your low case, when your CPRs are below the number you have here. Seemingly, there's a disconnect. So I'm just trying to get a sense for how do we bridge that gap.
William Charles Erbey: There is, and we'll try to come back with a little more thoughtful way of trying to reconcile it. The range even on the liquidating value is pretty -- is quite wide. I mean, even to most of the different sell-side analysts, it's quite large, that gap. This number, if you were to look at the actual cash flows themselves and just comparing the difference between that 18% and a 10% cash flow over 10 or 20 years makes an enormous difference in value.
Craig William Perry - Panning Capital Management, LP: Of course, of course. Look, any additional color you can provide around this, I think, will be extremely helpful to us and to the marketplace. So actually to help us to think about it and [indiscernible] provide.
Operator: Our next question comes from Brad Ball with Evercore.
Bradley G. Ball - Evercore Partners Inc., Research Division: I have a couple of follow-up questions on the regulatory environment. Could you talk about how you have in the past addressed the question of potential conflicts among affiliated companies in your prior SEC filings or with regulators in the past, could you just discuss how that's been addressed?
William Charles Erbey: Yes, I'd refer you to just look at all of our SEC filings. I mean, I think that they are -- we've been very complete and open about what those relationships are. So you're welcome -- even on all the spins, you'll see all of the contracts are disclosed in that nature. So whenever we take, say, spin one company out of another, you have a complete contract package to look at and evaluate. So the way we've dealt with it is to have full disclosure.
Bradley G. Ball - Evercore Partners Inc., Research Division: So yes, so in -- when, for example, when Altisource was spun out from Ocwen, the filings that you provided to the SEC included full disclosures about affiliated arrangements, agreements among the companies and so on?
William Charles Erbey: Yes. They're exist. They're an important element of investors' decisions to be reached. And we provided those contracts and those relationships in our filings. Keep in mind, when you have a spin, it's the same investors are on both -- if you have an investor that own 1% of Ocwen and they got 1% of Altisource, no matter how you break that relationship up, they still own 1% of both.
Bradley G. Ball - Evercore Partners Inc., Research Division: And the boards of each of the affiliated companies are independent?
William Charles Erbey: Yes. Obviously, I'm the only person that's on all boards.
Bradley G. Ball - Evercore Partners Inc., Research Division: You're the only overlapping member. Yes.
William Charles Erbey: There are more independent directors on every board than nonindependent.
Bradley G. Ball - Evercore Partners Inc., Research Division: Great. With respect to the Chief Risk Officer that was mentioned in the DFS letter yesterday at both Altisource and at Ocwen, how has that situation been remedied?
Ronald M. Faris: Well, I don't think we're going to comment on anything related to DFS, but I think we're not going to comment any further than what's been out there.
Bradley G. Ball - Evercore Partners Inc., Research Division: Okay. That's fair. And are you currently undergoing an examination by the DFS or by any other regulator? Do they have examiners in-house?
Ronald M. Faris: Well, it's public knowledge that Ocwen, I think it was a little over a year ago, signed an agreement with the Department of Financial Services to have a monitor in place, and that monitor is in place at Ocwen. We have various state exams that go on all the time. So there are state examiners from different states at one time or another in our offices. So I'm not going to get into specifics, but that's an ongoing thing that we always have.
Bradley G. Ball - Evercore Partners Inc., Research Division: Great. And those ongoing exams presumably would check things like potential conflict of interest. They check things like compliance with the servicing standards. They would check to make sure that customers, borrowers are not being mistreated, et cetera?
Ronald M. Faris: Well, I don't -- we're not going to comment on the specifics of any of the exams.
Operator: And our final question comes from Kevin Barker with Compass Point.
Kevin Barker - Compass Point Research & Trading, LLC, Research Division: Could you stop servicing in the State of New York if you wanted to? And would Lawsky have regulatory purview if you were to move out of the State of New York?
William Charles Erbey: We would prefer not to answer that question if we could [ph], Kevin, thank you.
Kevin Barker - Compass Point Research & Trading, LLC, Research Division: Okay. I understand. And have you had any actual conversations with investors concerning some of the conflicts of interest that was brought up related to the Gibbs & Bruns potential suit? Or how do you view some of that noise that's coming from that potential suit?
Ronald M. Faris: We don't comment on rumors out there about potential items. So there's really nothing to comment on there.
Kevin Barker - Compass Point Research & Trading, LLC, Research Division: Okay. And then it's more about -- I mean, you've satisfied a lot of the servicing settlement via looking at each loan as NPV positive for both the MBS and the consumer from the investor. So if I look at that, is there any other protections you've put in place to ensure that both the investor is both taken care of and your best interests are aligned in the servicing settlement along with the borrower?
Ronald M. Faris: Yes. We have controls in place and have been servicing and will continue to service in accordance with the servicing agreements for each individual pool of loans that we service. So each RMBS transaction has a separate servicing agreement, and we service in accordance with those agreements. I don't think anyone would dispute that helping consumers through this process is important. It is good for the economy as a whole, for communities and -- but we are constrained in what we can do for the consumer by the servicing contracts, which require that we service in the best interest of the investors and that means -- in most cases, what that means is that any sort of resolution you enter into has to be net present value positive for the investor. So I mean, that's a generalization because we're talking about thousands of servicing agreements. But we service in accordance with those agreements. And our resolutions, whether it's a modification, short sale, deed in lieu, are net present value positive for the investor.
William Charles Erbey: If you look at the Moody's report it shows that we generate more cash flow than any other servicer on private label securitizations. And on the prime side, you're really very much constrained by what the agencies tell you what you have to do, the rules the agencies have. So in subprime, we generate more cash flow to the trust. And the general criteria is, are you maximizing for the trust as a whole, not for individual tranches of investors. I think it shows, the data shows that we lead in modifications and keeping more people in their homes. I think that also the data shows from independent third parties that we generate more cash flow to the REMIC Trust than any other servicer out there. And the reason that makes sense is, if you look at the very [ph] numbers, i.e., the percentage loss that you have on a foreclosure today on most subprime pools, it's somewhere between 70% to 80% loss. So it's almost -- in the vast majority of cases, a modification is net present value positive. In some cases you can't give modifications because the contract says that you can't do x within the contract. And we comply with all of those. I can say unequivocally, I think -- unequivocally, that we are not changing our servicing practices as a result of the national settlement. We believe that, nor -- in the contract it's explicit that we don't have to do that because we believe that our servicing practices will enable us to achieve our promised results that we had under that agreement.
Kevin Barker - Compass Point Research & Trading, LLC, Research Division: Okay. And then shifting back to some of the comments you made about the share repurchase program. You bought back 1.1 million shares during the fourth quarter. You mentioned that you would buy back the amount of your previous quarter's earnings. But you did open the door there for, it could be more or less in any given quarter. Could you just explain your strategy behind that and why you would -- would you actually buy back more than your earnings in the previous quarter?
William Charles Erbey: We could. I mean, it obviously depends on the share price. I think the whole management team and the board is a big believer in the company and its future. And we're not sellers. We're net buyers with regard to that. So depending on the relevant stock price, we may be slightly more aggressive. That always will be tempered by the fact, though, that I think one of the -- on the national stage across the whole -- just on a national stage, as well as in New York, one of the prime criteria they want to have is that they want to have the servicers, the nonbank servicers have very strong capital and a strong balance sheet. I think that's a fairly large dialogue that's going on today. We intend to keep that industry-leading position there.
Kevin Barker - Compass Point Research & Trading, LLC, Research Division: Could you speak to some of the capital structure -- some of the capital structures that -- the discussions that are out there about what the capital structure should look like or the capital requirements that nonbank servicers should have at market?
John V. Britti: No. I mean, look, we're not -- I think that some of this is very speculative. And so we're not going to respond to that kind of speculations out there.
Operator: Ladies and gentlemen, thank you for your participation. This does conclude today's conference. You may all disconnect and everyone have a great day.
Ronald M. Faris: Thank you.
John V. Britti: Thank you.